Operator: Good morning, and welcome to the CubeSmart First Quarter 2016 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Charlie Place, Director of Investor Relations. Please go ahead.
Charlie Place: Thank you, Kerri. Hello everyone. Good morning and welcome to CubeSmart's first quarter 2016 earnings call. Participants on today's call include Chris Marr, President and Chief Executive Officer; and Tim Martin, Chief Financial Officer. Our prepared remarks will be followed by a Q&A session. In addition to our earnings release, which was issued yesterday evening, supplemental operating and financial data is available under the Investor Relations section of the company's web site at www.cubesmart.com. The company's remarks will include certain forward-looking statements regarding earnings and strategy that involve risks, uncertainties and other factors that may cause the actual results to differ materially from those forward-looking statements. The risks and factors that could cause our actual results to differ materially from forward-looking statements, are provided in documents the company furnishes to or files with the Securities and Exchange Commission, specifically the Form 8-K we filed this morning, together with our earnings release filed with the Form 8-K and the Risk Factors section of the company's Annual Report on Form 10-K. In addition, the company's remarks include reference to non-GAAP measures, reconciliation between GAAP and non-GAAP measures can be found in the fourth quarter financial supplement posted on the company's web site at www.cubesmart.com. I will now turn the call over to Chris.
Chris Marr: Thank you, Charlie and thank you everyone for joining us. Very solid quarter. Our organic growth remains robust as our strong operating platform is functioning at a very high level and is bullied by solid industry fundamentals to achieve exceptional results. We continue to push on both rate and gain occupancy. Our operating expense is benefitted from whether and our energy reduction through solar, line upgrades and insulation of energy management systems. Our investment teams continue to source opportunities across our three areas of focus. Existing asset acquisitions JB development and purchase at see more opportunities. We have found more value recently in the acquisition of assets that have been developed in the past year or two. The blended yield on our closed acquisition and acquisitions under contract is approximately 4.1% so we are absorbing a little bit of dilution here in 2016, about a penny of the balance of the year or finding great opportunities that we think create very strong long term values for our shareholders. Our busy period is now about 13 days old and the results continue to be very solid. Occupancy at our newly developed facilities was fabulous thus far in April with our Fremont asset in Le Bronx growing 830 basis points and our two new assets in Queens growing 470 and 500 basis points respectively from the March 31 results. Our overall pool as of this morning, experienced a 30 basis point from the end of March and our rates are up about 1.6% here in April compared to what they were in March 31 so again we continue to gain occupancy and the ability to push a street reign. Our team is excited and well prepared for the busy next 100 days and so at this point I would just like to turn the call over to Tim to detail on our quarter and the increases in each component of our guidance.
Tim Martin: Thanks Chris, our first quarter results again reflect the formula that has been repeating itself over the last several years. When you take strong fundamentals in the sector and add our sophisticated operating platform that equals continued performance well in excess of historic levels and in this quarter it had the impact of a mild winner in most of the country and the result is the second highest same story in a wide growth quarter in our company's history. Same story in a while, 4.9% during the quarter was driven by 8.4% increase in revenue and a 1% decline in operating expenses. Revenue growth was driven primarily by growth in net effective rent as well as a 150 basis point increase in occupancy to 91.9% during the quarter. The decline of operating expense was mostly attributable to lower snow removal and utility cost compared to last year. Our reported FFO per share of adjusted $0.32 met the high end of the guidance trends and represents 14.3% growth over last year. We are busy on the external growth front investing $216 million during the quarter. Of that activity $135.9 million came from the acquisition of 9 operating facilities through 6 separate transactions. We also acquired a property in Brooklyn and CO for $48.5 million and we opened up a JB development property in queens for $31.8 million. We continue to see attractive opportunities to execute our disciplined growth strategy with $23 million of acquisition so far in the second quarter and another $58.5 million of acquisitions under contract. Additionally our value creation inline of JB developments and CO provides another $270 million of future growth as detailed on page 23 of our supplemental package. From a balance sheet perspective we continue to focus on funding our growth in a conservative manner which is consistent with our BBB ratings and during the quarter we sold 2 million shares under our aftermarket equity program for net proceeds of $53 million. The guidance ranges were revised upwards and were released last evening reflecting continued positive trends in our markets for 2016 we raised our estimate for same store revenue growth to 6.25% to 7% driven by net effective rent growth. We lowered our same store expense growth to expectations to 2.5% to 3.5% driven by the good news in the first quarter in the mild winner. And those changes are reflected in our higher same store high growth expectations of 7.75% to 8.75%. We also raised our annual FFO per share guidance by half a penny at the midpoint to arrange $1.36 to $1.40 per share and we introduced second quarter FFO per share guidance of $0.34 to $0.35. As Chris mentioned, thanks again everyone for joining us this morning and for your continued interest and support. That wraps up our introductory remarks so Carrie why don't we open up the call for some questions?
Operator: [Operator Instructions] Our first question comes from Gaurav Mehta of Cantor Fitzgerald, please go ahead.
Gaurav Mehta: Yes, good morning, Chris I want to go back on your comment on finding value in recently developed assets. Are you referring to the CO deals or these are the assets that other people developed and they want to sell?
Chris Marr: I am specifically in that instance referring to how we disclose the acquisition so its $163 million that we closed this year plus the ones Tim referred to under contract.
Gaurav Mehta: Okay. And then going back to your revenue guidance, if I look at Q1 growth rate of 8.4% and then if I assume that Q2 will be higher than Q1 that kind of brings the average for your staff much higher than what your guidance is currently and I was hoping you could provide some color on your expectations for second half. Are you expecting a meaningful deceleration?
Chris Marr: Yes, so I mean the math is the math and you can do that. As you think about our process we feel very good our forecasting abilities in a business that is challenging to forecast. We have about 6% to 7% of our customers vacate every month. We need to replace those customers and obviously grow revenues, we need to replace more than just who are vacating. We need to obviously constantly assess rates and inducements in each market so when we provided guidance it was just the short 60 days ago. What has occurred in the first quarter has been very positive as I said. Very optimistic I think about how April has started off. A lot of hays going to get put in the barn in the next 100 days and so at this point I would consider this management team to be fairly conservative, always in our outlook. We have always promised and over performed. So we are providing guidance with the best available information we have at this time and certainly would be very pleased to be in a position when we get back to you after June to be able to move that guidance in a very positive manner.
Gaurav Mehta: Great then lastly on the 10% JV, I was wondering if you could provide more detail on assets you are looking to acquire, how you decide what's going to the JV and what goes to the balance sheet. Is it really the quality of the assets that you don't want to own on your balance sheet that goes on the JV?
Chris Marr: Yes, so in this particular instance these were assets that we had been managing for the last several years. They are in markets that don't fit the profile of how we think about on balance sheet fully owned assets our customer in the sense has come to us, they were exploring a disposition. We thought that the assets in these markets, Charlotte, Charleston etcetera would be possible good long term holds for our JV partner. That proved to be the case and so it was a very seamless transaction and that all of the assets were branded CubeSmart. We had been managing them and so transferring them into the matrix and continuing to provide that management for a fee taking a small equity stake in the properties to be able to capture what we think is some pretty good remaining upside. The assets were about 87% occupied because there had been some recent expansions. We were very confident. Our ability to lease up those expansions hit very high physical occupancies and so it just worked and I know there has been activity in the last two quarters I wouldn't read into that. It was a situation that just presented itself to us. We knew the assets and the owners and it just made sense to offer that opportunity to our partner and it made sense for them to execute on it.
Gaurav Mehta: Thank you for taking my questions.
Operator: Our next question comes from Jana Galan from Bank of America Merrill Lynch. Please go ahead.
Jana Galan: Thank you good morning, what you are seeing in New York City, the supply outlook, a lot of which you are bringing to the market, is there a lot of overlap versus the developments and what do you currently own?
Chris Marr: Yes, Jana I will take that question and expand a little bit even beyond New York city if that's okay with you so again when we think about New York and our supplemental package we provide MFA disclosures so we are showing the 48 assets in the same pool that are in the Burroughs like North Jersey, Long Island. Specifically of those 48 assets, 23 of them are in the Burroughs we currently operate in Staten Island, Queens, Brooklyn and Bronx. Their performance was extremely solid in Q1, those 23 assets 8.4% revenue growth minus 4.3% expense growth, 13.2% growth so a market perspective, the Atlantic Coast, New York, Philadelphia and Boston continue to perform quite strong. From a supply perspective then, if you start to look at supply in our seven major markets and so that would be the New York, North Jersey, Long Island market broadly, Greater Chicago land from Baltimore Maryland all the way through Northern Virginia, Arlington, counties Dallas fort worth, Houston, Miami, fort Lauderdale, our work tells us that thus far in 2016 in those markets there have been 28 new store openings not controlled by Cube and of those 28, 8 compete with an existing CubeSmart asset. The primary market for supply would be the Dallas Fort Worth area that 8 new stores open, 3 of which compete with us. Then when we roll forward and we look at what we define as in development and so when we think about in development we think about assets that are under construction that have received all of their approvals but not begun construction yet. 4 have received permits but have not received their approvals yet. What we see in those 7 broadly defined markets at this point are 96 non Cube controlled assets that meet that definition. 33% of those are in Dallas Fort Worth. The next most significant market would be the broad New York, New Jersey, Long Island but when you break that down because of the very highly populated area and you look at the Burroughs specifically, we currently see 14 assets non-Cube controlled in the Burroughs; 2 in Queens, 8 in Brooklyn, 1 in the Bronx and 3 in Staten Island and then of those 14 4 will directly compete with an existing Cube so from a supply perspective again we remain very comfortable with the overall supply in those 7 markets. I think when you look at where things appear to be moving in volume the quickest is the Dallas Fort Worth area. I think we have a large competitor who has 6 projects just on their balance sheet going in Dallas, Fresno, Plano and Louisville and I would put Houston right behind that. So not worried at all about Burroughs or New York, New Jersey, Long Island. Again when you think about those markets and you think about square foot per capita again we remind folks, if you look at all the storage in the Bronx 2.2 square feet per capita, Brooklyn 1.47, Queens 1.6. If you look at our stores in the Bronx, we have one Cube to rent for every 82 households, in Brooklyn one Cube to rent for every 97 households and in Queens on Cube for every 57 households. So continues to be an under supply market, there would have to be a significant new supply way beyond what we see today to get that market to be of any concern and again I will remind folks about the national average of 7.35 of square foot per person and the two highest are Dallas at 7.9 and Houston at 7.6 so that's where we are seeing most of the new supplies. Hopefully that not only answered your question Jana but answered our question from the supply perspective.
Jana Galan: Thank you Chris and maybe you could share some comments about Bridgeport, Connecticut, Chicago, and Cleveland which were some of the lower performing MSAs?
Chris Marr: Yes, the mid-west Chicago and Cleveland continued to move at a slower pace. Consistent with what you may have heard on some other call. It's in Chicago, not really an occupancy issue, it is the ability to get rate and it is both in our north and south side of Chicago, occupancy picked up about 60 basis points but we just weren't able to get much rent. We had a little bit of anomaly in Chicago that altered the growth in the same store in Chicago. We have an expansion going on at our Killdeer facility and so we took down a building of around 100 cubes and then we had one customer military customer who we finally resolved an outstanding receivable while we resolved things at the store level, you take those two things and back them out the growth in the quarter in Chicago was 39 and NOI was 62 but slightly better what was reported here but it slightly continues to be a market where a customer moves out we are just able to replace them. We are just not able to replace them significantly on higher rents, same situation in Cleveland, Bridgeport is a small sample size so it's just a timing issue.
Jana Galan: Thank you very much.
Operator: Our next question comes from Todd Thomas of KeyBanc. Please go ahead.
Todd Thomas: First question about the HVP venture, with regard to pricing on acquisitions do you have a different underwriting criteria for JB acquisitions versus Holy on Deals in terms of how competitive you might be?
Chris Marr: No, we look at them the same way. They might take a very small minority stake or put our asset on the balance sheet so we have to like the pricing so it's consistent.
Todd Thomas: Okay and then the most recent acquisition the 31 properties, was that one seller or was the multiple sellers within the third party portfolio and then how active are you in reaching out to the third party management property owners to gauge their interest for acquisition?
Chris Marr: Yes, I will take those in inverse order. That was inbound there business plan has them being an active developer and in their markets. We obviously review at year end with all of our customers there strategy for the asset which began a conversation so it comes and goes both ways. Some inbound and some where we are recruiting. In terms of the first action, it was one seller from whom we managed 31 assets.
Todd Thomas: Okay. And then shifting to New York metro assets performance clearly was strong at those properties as you mentioned. New York's one of the markets where handful of storage operators have targeted to established to operations, do you have a sense of how those companies are doing, whether you are seeing some impact from those operators and some of your guys on the ground in new York are telling you?
Chris Marr: And, Todd just to clarify, you are talking about the Ballet storage concept?
Todd Thomas: Correct.
Chris Marr: It's interesting because we had piloted and run for a while CubeSmart direct which was essentially the concept that we would store your possessions in your own designated Cube at one of our branches or Brooklyn or Queens stores and we learned that it moved pretty quickly into most of the customers seeking a full scale storage experience. So it moved fairly quickly from a tote or some other design device to hold a small number of possession to, I would like you to move my one bedroom apartment. We also learned the logistics involved in the business not to mention the parking tickets created a n unprofitable opportunity so we look at that business and suspect that it will be a niche business, there may be a survivor in some of the more established urban markets but don't see it and the guys on the ground don't feel it. We may be feeling it. I can't point at anything given that how solid the performance has been but you may feel it in the locker sized Cubes we have at our stores for those folks who have the quantity of possessions that would ordinarily fit in there that use the service but we are skeptical of the long-term competitive nature of that.
Todd Thomas: Okay. Just lastly do you have any sense from at the properties that you own and operate in Burroughs, what percent of renters are living in Manhattan?
Chris Marr: Yes, we do. I don't have that off the top of my head. We zip code map everyone. And again the other problem with that is that while we know the zip code on which they have on the lease we don't know whether that's their business residence etcetera. So, we do know we have an address in Manhattan on lease and you would see that 135th Street exterior in some of the stores where we have Jackie Robinson I would get the businesses that store but I don't have a percentage for you.
Todd Thomas: Okay. Thank you.
Operator: Our next question comes from Ki Bin Kim of SunTrust. Please go ahead.
Ki Bin Kim: So if I look back at what you guys have achieved and increasing the schedule last year in the summertime around 7% to 8%, I know it's early, just April, I was wondering if you could provide some April stats on schedule and is there any reason to think that 8% to 7% is not achievable?
Chris Marr: In the opener, I said that the same sort of pool as in this morning was 92.6% occupied so I think had grown about 30 basis points at the end of March. I mentioned rental up 1.6% from where they were at the end of March so is it feasible to assume and again I have to think about where rents went past April, May and June but is it achievable to have that Delta climb up the 7% to 8% range? Sure but again I think it's all the moving pieces as we always say -- part of its going to be occupancy, part of its going to be rates, part of its going to be nuisance.
Ki Bin Kim: It seems the about the change in schedule rents was 6% to 20% so maybe that's more in May and June but that's where we stand.
Chris Marr: Yes, we said last year on that point Ki Bin hat it felt like we were slower to draw in the April, May timeframe on the rents and certainly in the focus this year till we get on front of it.
Ki Bin Kim: Okay. And thanks for the color on the development and supply out there. But if you change the definition things that are being started or worked on in the pipeline, something which is more in the pipeline and is it accelerating in the recent half year?
Chris Marr: Yes, I think when you expect and you get into the pipe dreams, but we go back far as in the permitting process that some of those are going to drop out since you aren't going to get your permits. So between under construction and you have received your approvals in permitting, those to us are real. I think when you get kind of beyond that contract negotiation or whatever, our certainty is less than perfect and is not meaningful.
Ki Bin Kim: Okay. Thank you.
Operator: Our next question comes from Smedes Rose of Citigroup. Please go ahead.
Smedes Rose: Thanks, I just wanted to ask you when you talk about competitions particularly in the Burroughs, how are you defining stuff that's competing directly against your properties, how do you think about the competition zone?
Chris Marr: When you think about the Burroughs, generally it's a mile circumference around that store or depending upon in Queens it may go as far as a mile and a half, when we think about it in Dallas, Houston etcetera, mile and a half to three.
Smedes Rose: Okay. Do you have, you mentioned the number of facilities being built in the Burroughs but do you have a sense of what is the total increase in the square footage that's coming online?
Chris Marr: No, there was obviously a large asset built in the Bronx but I think if you look at 60,000 to 70,000 square feet per facility in use that I read off you can get pretty close.
Smedes Rose: Any my final question have you seen any kind of changes in the quality or the quantity of assets that are on the market for sale and maybe any pricing changes?
Chris Marr: Pricing continues to grind down 25 basis points to 50 basis points depending upon the market. Quality has changed, always going to see a mixed bag. I would say the strategy of let me try to accumulate some assets and bring that accumulation of assets to market and as a result I feel like I can get a premium for the bulk clearly there are some folks out there who are trying to execute on that strategy.
Smedes Rose: Okay. That's helpful thank you.
Operator: Our next question comes from George Hoglund of Jefferies. Please go ahead.
George Hoglund: A question on the recent acquisitions, besides those deals what is the average occupancy of recent acquisitions and how are existing rental rates versus market rental rates?
Chris Marr: Yes, the occupancies are going to be all over the place. We have got some that have operated for one leasing season and there will be 30% range. We have some that will be open to 6 to 9 months and they may be as low as 10% and some that are 75% to 80% so it's all over the place they are just not, my point to bring that up was from a modelling perspective, we didn't want folks to get too far ahead of us and assume that all of those assets were at market yields going in just because we are finding value in these other types of assets. Then I would say again generally speaking they are run by non-read operators and they tend to price a little bit more conservatively certainly when they are trying to lease up so we would see the value creation from these both in our confidence in growing the occupancy and I rattled off how we have been doing it at our newly opened stores and we are highly confident in our ability to put these in to the machines and get them leased up very quickly and also our capability to push on rent simultaneously.
George Hoglund: Okay. Thanks and one more thing on the transaction wire in general. Are you seeing any large portfolios out there for sale?
Chris Marr: I guess it depends upon large in this business. We continue to look at everything that's out there and as I said this idea of trying to accumulate assets and bring them to market is quickly a strategy of few folks so I would not be surprised if you saw a couple of larger opportunities present themselves over the course of the year.
George Hoglund: Thanks.
Operator: Our next question comes from Jonathan Hughes of Raymond James Financial. Please go ahead.
Jonathan Hughes : Hey good morning. Thanks for taking my question. Earlier you mentioned that certain percent of tenants vacate each month. Could you comment on how many of those leave due to not wanting to pay renewal rates and has there been any changes in retention over the past year or two years?
Chris Marr: Yes, to your first question, we don't know why they leave so we track our rate increases to existing tenants and then look at how those tenants or customers behave and we have not seen any significant difference in our customer behavior from the rating increase side. When you think about length of stay they continue to move out modestly so we continue to see a little bit longer length of stay but it is in days not in weeks.
Jonathan Hughes : And then what kind of rates are you pushing on renewals in terms of expiring versus the new rate?
Chris Marr: We're in the low double-digits, so 10% plus or minus, obviously we have some customers for whom they've been enjoying below market rent for a bit and we've got high occupancy, and we've got keen interest in getting them to market or getting them out and we'll bring them at least close to market and sometimes that's a 20% increase, but for the most part it's kind of low double-digits.
Jonathan Hughes : Okay, thanks for the color. I appreciate it.
Operator: Our next question comes from Gwen Clark [ph] of Evercore ISI. Please go ahead.
Unidentified Analyst: Hi guys, good morning. I saw a recent article about Cube's investment in some ecofriendly initiative. Can you talk about what you're doing -- where you see that going in the future?
Chris Marr: Sure, thank you for that question. So we're obviously interested in doing what we can to help the environment, we are such a low impact use, the items in our tool belt are not as significant as they are and some of the more energy intensive product. So we really in a few areas; first, from a customer perspective, we do have a program where we will plan a tree for each customer, if they elect to take advantage of that. And I think we've planted 90,000 trees plus with our partners in that program. From a facility perspective, we've done lighting upgrade that at the overwhelming majority of our stores where we had some older lighting and have replaced it with much more energy efficient lighting. We have a store in Austin, Texas that we manage; that is the first, zero energy self-storage facility in Texas, and we're proud to be associated with that. We have Envirotrol system at many of our stores which helps us reduce peak energy usage. We agree to allow some overrides and to monitor our system so that we are not exacerbating the situation during peak times. And then we have solar, where it makes sense for us and increasingly doing more of that where we are self-sufficient in terms of the energy that we're producing at those stores. So doing our part and where we can, but we are a very low impact use to begin with, so some of it is at the margin.
Unidentified Analyst: Okay, that's helpful. Just to follow-up, is it possible to quantify the future cost savings from this stuff. It seems like it might be small but anything you have to offer?
Chris Marr: I think it's -- I mean you're seeing it in the utility -- in the utility expense although that was also weather help. So we're seeing returns that we expect on the invested dollar in a low 20% range. So it's very good returns, it just that a very small positive financial impact on our overall operating expenses.
Unidentified Analyst: Okay, I've got it. Thank you.
Chris Marr: Thanks.
Operator: Our next question comes from Ryan Burke of Green Street Advisors. Please go ahead
Ryan Burke: Thank you. Chris these is a $1 billion plus portfolio shopped, what's your level of interest, particularly given the geographic concentrations or primarily in Texas and Chicago.
Chris Marr: Ryan, we tend not to comment on transaction that are rumored to be in the marketplace.
Ryan Burke: Sure, it's worth a shot. Separate, but I guess related, your HVP joint ventures, minority stakes in these two portfolios now. Does this represent kind of a conservative effort to build, scale, while minimizing balance sheet exposure? Should we expect more of this type of thing moving forward?
Chris Marr: I wouldn't consider that to be the only motivation. I think the motivations are across a few areas. First, where we saw on the first transaction, a portion of a portfolio that we like, this was an efficient way for us to be involved in the transaction without having to absorb assets in some markets that we don't target and then worry about the disposition or some other solution for those. I think in the second transaction it was opportunity to participate and what we saw was a little, was upside in the stores while also continuing the fee stream. So I think in general, the idea as it say, it's a very attractive return vehicle for us, for properties that don't fit a 100% in our on balance sheet strategy. But it has been more unique to each individual opportunity being presented to us and the first one got us down the path to create the venture and the second one just wasn't likely candidate to be in the venture. And it's just impossible for us to predict whether or not, that's it, or whether it continues to have some other opportunities as they present themselves to us in the future.
Ryan Burke: And what was the tenant insurance penetration rate on the two portfolios?
Chris Marr: I don't have that percentage of the top of my head. We have been operating the most recent deal for a few years, so I would guess that somewhere between 50% and 60%, and in the first portfolio the previous managers had a program and they were certainly looking at it, so I would have to guess in that instance it was more in the 60% to 70% range.
Ryan Burke: Okay, thanks. Last question, I wanted to just go back to the Manhattan burrows, you made it clear that you're not too worried about supply there but just looking at the Bronx in the Long Island facilities, they only gained about – caught 150 basis points on occupancy, on average over the last six months. I think you provided some updated in prepared remarks, I didn't quite catch those but what specifically is happening on those two sites?
Chris Marr: So as I said it's at 78% at the end of April, so we picked up 830 basis points there in April. So I would look at that and say it's just timing. We have competing assets in that marketplace and we had a three year lease up, it's now beginning year three at 78. We'll get a stabilization area over the next 10 months or so I think. And then on Long Island, City, if picked up another 80 here in April, that's a larger facility. At 44% after placed in being service lot that long, ago. We're obviously pleased with the lease up. I know were getting spoiled here all over bit with a spectacular nature. But again, early customers tend to rental larger ques. The last 10% to 12% of occupancy, we're also starting to see early customers vacate, it's a little bit more challenging. And in that instance we have a non-REIT competitor that opened about the same time we did directly across the street. So we've got a little pressure in that sub-market right now in terms of available square footage. So, I guess in general, I would say by historical standard, we're really pleased when all of them -- by recent standards on some of our assets I think we're getting a little spoilt.
Ryan Burke: Okay, thanks. I appreciate the insights.
Operator: Our next question comes from Todd Stender of Wells Fargo. Please go ahead.
Todd Stender : Chris, just to stay on that theme, can you speak about the Brooklyn, sea of ordeal that you acquired in the quarter? Just wanted to get a sense of what your lease of strategy is going to be? Maybe there is a defined discounted rate compared to market rates and maybe what your time horizon will be to get to that -- kind of a stabilized level?
Chris Marr: Yes, again, we've been underwriting a three-year lease up to first level of stabilization on these assets. The Brooklyn asset that we acquired at CO -- bit larger than kind of our normal foot print and about a 110,000 square feet, that's in Coney Island. We obviously own another asset, in that same competitive marketplace it's our higher rent per square foot in our portfolio. That asset opened -- during the quarter and has really pretty nicely in its first couple of months of operation, currently at 18% occupancy. We offer an inducement, again it's unique to the underlying asset but I think in terms of phase rate for that storage priced at a fixed rate, about the same as its neighbor, it will just have a little more opportunity on the free rent side or some other form of inducement. The other asset in Brooklyn, we don't have a competitive Cube around there, it's a smaller store, about 57,000 square feet, so that one really doesn't have a competitive sub-storage facility around it. So that one we are a little bit less inclined to provide any sort of inducement there. Hopefully, that was along the lines of what you were looking for?
Todd Stender : Yes, sure it. And then just to stick on that theme, in your prepared remarks you gave some pretty good occupancy gains. I think for a few of the New York City assets. Since what it sounded like was March 31st, they are very good moves. I wanted to see whether you comparing it at average occupancy in the quarter or was that at a quarter end because it sound like…
Chris Marr: That was quarter end, and again, these are in various points on their seasoning. So [indiscernible] saw the biggest move at 830 basis points, we've had that store in the portfolio since the first '14. And then the other stores I mentioned were some of the more newly opened stores. Again it's not uncommon to see some bigger moves in the first year of operation and then you start to fight, both the available inventory as well as you start to see vacate after the first nine months or so.
Todd Stender: Got it, thank you.
Operator: [Operator Instructions] Our next question comes from Ki Bin Kim of SunTrust. Please go ahead.
Ki Bin Kim: Thanks. Could you just comment your plans for funding future acquisitions or developments funding for this year?
Chris Marr: Ki Bin, thank you for asking that because Tim has been sitting here patiently, waiting to talk. So, Tim?
Tim Martin: My answer is the same as I give every single time which is very consistent with what we've done over the past several years, we will look to fund all of our growth, whether it's development or otherwise with a combination of debt and equity that will be consistent with our credit metrics that support our rating. So you would expect to see us continue to utilize our free cash flow for the first $130 million worth of growth and beyond that our playbook has been utilizing our ATM which again we used in the first quarter to the tune of about $63 million to fund the equity portion of our growth. We have $500 million revolver that we have available to us and as we start to grow, the debt balance on that -- we have been programmatically looking to term that our on longer term fixed rate basis, most recently over the last couple of years by accessing the outskirt senior notes market.
Ki Bin Kim: Okay. But I would say, in this whole city that's a temporary thing but the equity markets have been -- especially for self-stores has been little bit choppier, maybe it doesn't…
Tim Martin: Temporary like today? Like this morning, temporary?
Ki Bin Kim: But I guess, if stock prices can change below volatile or stay temporary like today, where they are. I would just guess that it makes the equity leverage just less attractive. What's the plan B if that happens?
Chris Marr: Yes, part of our raising equity capital through the ATM or otherwise is guided towards looking at commitments that we have made. So we have a $270 million pipeline and because of that and other commitments we have made, if you look at our credit matrix, our credit matrix looking awful lot like a Triple B+ company, as oppose to Triple B Company. So we're operating at leverage and level credit metrics that are awfully conservative for our rating, translated into -- we have, we view it that we've effectively fund a lot of our commitments in and will expect to do so in times where we have good visibility into our cost-of-capital, particularly equity cost of capital when we're making those commitments. We certainly prefunded a portion of that on a basis that is at a lower leverage level than we can run longer term. So if there were a prolong period where equity capital was not attractively priced in our, we would use a modest amount of leverage to complete our existing commitments and at some point if that were to continue, you pause.
Ki Bin Kim: Okay, thank you.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Chris Marr for any closing remarks.
Chris Marr: Thank you. Thank you all for participating. As was a sit here in late operator does been that a lot like 2015 and 2014. So we've got great industry fundamentals. We continue to perfect our platform, we think we've got best-in-class people and systems on the operating side, we are in an environment where new supply with it is certainly happening -- continuous to be very modest, and we are excited about what the future holds here, particularly over next few months. So we'll look forward to talking about speaking to all of you again at June 30, seeing those of you REIT. And thank you for participating in the call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines. Have a great day.